Operator: This afternoon, Bohn Crain, Radiant Logistics Founder and CEO; and Radiant's Chief Financial Officer, Todd Macomber, will discuss financial results for the Company's fourth fiscal quarter and year ended June 30, 2014. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes. This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The Company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the Company that may cause the Company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements. While it is impossible to identify all the factors that may cause the Company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past and may in the future be identified in the Company's SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com. In addition, past results are not necessarily an indication of future performance. Now I'd like to pass the call over to Radiant's Founder and CEO, Bohn Crain.
Bohn Crain : Thank you. Good afternoon, everyone and thank you for joining in on today's call. We are very pleased to report record results for the quarter and the year ended June 30, 2014 and our continuing trend of margin expansion and earnings growth. For the quarter we reported adjusted EBITDA of $4.5 million, up $1.1 million and 34.3% with further margin expansion measured as adjusted EBITDA as a percentage of net revenues up 170 basis points and 16.2% and for the year we reported adjusted EBITDA of $14.8 million, up $3.8 million and 34.1% with margin expansion up 250 basis points at 14.9%. As a reminder these results only include nine months of contribution from our acquisition of On Time Express, which we completed effective October 01, 2013. I would also like to draw your attention to the cash flow statement and the fact that we generated approximately $7 million in cash from operations for our fiscal year ended June 30, '14 compared to cash from operations for our prior year of approximately $3 million. This is an improvement of $4 million and 133%, and that’s good math. On the acquisition front, effective September 01, '14 we completed the small transaction here in the Seattle area acquiring Trans-NET. Trans-NET is a niche project foray with extensive experience in providing integrated project logistic solutions in key Russian oil and gas, mining and infrastructure development markets. We have combined Trans-NET’s U.S. operations with our existing Company owned operations here in the Seattle marketplace and Peter Moe, Sr. will continue with the organization as Managing Director for Global Project Services with responsibility for the ongoing commercial development of this service offering. In the right place, at the right time, with the right value proposition, our non-scalable, non-asset based business model continues to deliver superior results. For those of you that have been following our story for a while, you will know that the heart of our growth strategy continues to focus on bringing value to the agent-based forwarding community; leveraging our status as a public company to provide our operating partners with an opportunity to share in the value that they help create, providing a robust platform, from which to serve the end customers, including providing differentiated service offerings like our preparatory dedicated line-haul network from our acquisition of On Time and our project service capabilities to Russia from our acquisition of Trans-NET, and ultimately, offering a unique opportunity in terms of succession planning and liquidity for our station owners. Within this framework, we are fueling our growth through a combination of organic and acquisition initiatives. Organically we continue to focus on improving the tools available to our existing network to win new business as well as expand the network itself by on boarding new operating partners that will recognize the benefit of our platform. We also continue to be opportunistic in our pursuit of accretive acquisition opportunities to further accelerate our growth. This would include the conversion of our existing operating partners like our acquisitions in Los Angeles and Portland. The acquisition of agent stations participating in competing networks, like our Laredo, JFK in Philadelphia acquisitions; and ultimately, the potential acquisition of other competing networks, like Adcom and Distribution By Air. In addition, we also have an interest in pursuing other non-asset-based acquisition opportunities that bring critical mass from a geographic standpoint, purchasing power and/or complementary service offerings to the current platform. Broadly these would fall into the categories of truck brokerage, intermodal, NVOCC and customs brokerage services. This has and remains our core strategy. You may also remember that about a year ago we rolled out a new organizational structure, introducing regional VPs with an eye towards reinvigorating some of our organic growth initiatives. We are starting to get some traction on this front. Our Chief Operating Officer, Dan Stegemoller, along with Tim O’Brien leading the charge on East Coast, John Klesch the Central Region, and Mark Spisak on the West Coast have been tireless road worriers in their respective regions; and we believe we will have some great things to share with you in the weeks and months ahead. Historically, the on-boarding of new agency locations, along with a few attractive acquisitions sprinkled along the way have been the key ingredients for our consistent profitable growth. In the history of the Company, I don’t think we have been ever had a more interesting pipeline of opportunities under consideration. Same-store growth, new stores and potential acquisitions, I think you will see us firing on all cylinders in the coming quarters. As a reminder, we also continue to enjoy significant capacity under our existing $30 million credit facility with Bank of America to execute the strategy and while we’re not ruling out the possibility of larger transactions, our efforts are largely focused on acquisition candidates generating $1 million to $3 million of EBITDA, where we believe we will be able to value and structure the transactions consistent with our past practices, that is valuing the transactions at plus or minus five times trailing 12 months earnings power and using earn out structures. Moving onto the outlook, we are providing guidance for the upcoming quarter ended September 30, 2014 and excluding the impact of any further acquisitions, gain on litigation or other unusual items, we are projecting adjusted EBITDA in the range of $3.7 million to $4.3 million on approximately $95 million to $100 million in revenues, which equates to adjusted net income available to common shareholders in the range of $1.5 million to $1.9 million or $0.04 to $0.05 per basic and fully diluted share, another solid quarter of comparable year-over-year growth. The quarter ended September is historically seasonally slower than our quarter ended June as is reflected in our outlook and it is we are not projecting sequential growth. With that said, the comparable year-over-year growth remains outstanding and given our pipeline of new opportunities, we expect some further expansion for the quarter ended December 31 and beyond based on the pipeline of opportunities under consideration. This remains a very exciting time in the evolution of Radiant and we remain very confident that our growth strategy will continue to bring value to our operating partners, shareholders and the end customers that we serve. I will now turn it over to Todd Macomber, our CFO, who will walk us through the financial results in detail and then we’ll open it up for Q&A.
Todd Macomber: Thanks Bohn, and good afternoon everyone. Today, we will be discussing the financial results including adjusted net income, adjusted EBITDA for the three and 12 months ended June 30, 2014. In reviewing net income, for the three months ended June 30, 2014, we reported net income attributable to common shareholders of $1,604,000 on $102.3 million of revenues, or $0.05 per basic and $0.04 per fully diluted share, including a $683 gain on change in contingent consideration. For the three months ended June 30, 2013, we reported net income attributable to common shareholders of $2,352,000 on $80.7 million of revenues, or $0.07 per basic and fully diluted share including $1,875,000 gain unchanged in contingent consideration. This represents a decrease of $748,000 or 31.8% over the comparable prior year, largely attributable to the much smaller gain on change in contingent consideration for the current quarter decreasing $1,192,000. For the 12 months ended June 30, 2013, we reported net income attributable to common shareholders of $4,027,000 on $349.1 million of revenues, or $0.12 per basic and $0.11 per fully diluted share, including a gain of $2,041,000 of change of gain on change contingent consideration, which was significantly offset by a noncash charge of $1,238,000 related to the unamortized OID and debt issuance cost written-off in connection with retirement of the subordinated debt. For the 12 months ended June 30, 2014, we reported net income attributable to common shareholders of $3,657,000, on $310.8 million of revenues, or $0.11 per basic and $0.10 per fully diluted share, including a $2,825,000 gain on change in contingent consideration as well as a net gain on litigation settlement of $368,000, further offset by transition and lease termination cost of $1,544,000. This represents an increase of $370,000 for approximately 10.1% over the comparable prior year period. Next, we will review adjusted net income. For the three months ended June 30, 2014, we reported adjusted net income attributable to common shareholders of $2,029,000 or $0.06 per basic and fully diluted share. For the three months ended June 30, 2013 we reported adjusted net income attributable to common shareholders of $1,707,000 or $0.05 per basic and fully diluted share, an increase of $322,000 or approximately 18.9%. The 12 months ended June 30, 2014, we reported adjusted net income attributable to common shareholders $6,769,000 or $0.27 per basic and $0.19 per fully diluted share. For the 12 months ended June 30, 2013 we reported adjusted net income attributable to common shareholders of $5,409,000 or $0.16 per basic and $0.15 per fully diluted share, an increase of $1,360,000 or approximately 25.1%. Now reviewing adjusted EBITDA, we recorded adjusted EBITDA of $4,496,000 for the three months ended June 30, 2014 compared to adjusted EBITDA of $3,347,000 for the three months ended June 30, 2013. This represents an increase of $1,149,000 or 34.3% over the comparable prior year period. We reported adjusted EBITDA of $14,750,000 for the 12 months ended June 30, 2014 compared to adjusted EBITDA of $10,998,000 for the 12 months ended June 30, 2013. This represents an increase of $3,752,000 or 34.1% over the comparable prior year period. A reconciliation of the Company’s adjusted EBITDA to the most directly comparable GAAP measure appears at the end of our earnings release. With that said I will turn the call back over to our moderator to facilitate any Q&A from our callers.
Operator: Thank you. At this time we’ll be conducting a question-and-answer session. (Operator Instructions) Our first question comes from Jeff Martin from Roth Capital Partners.
Jeff Martin - Roth Capital Partners: Bohn, could you go into little bit more about the Trans-NET acquisition, curious to know the revenue base there, the EBITDA level? What you plan to do post purchase and integrating it and growing it?
Bohn Crain: Yes, we specifically have not gotten into specifics in terms of the financial parameters for some market reasons. It’s a small transaction, not material from an SEC perspective and not material in terms of getting cash out late in connection with the closing of the transaction. With that said, we’re really excited about what this represents for us in terms of an additional capability. So Russia Far East is a difficult place to do business. Peter and his team have been operating there for quite a few years at this point and we have a fair number of existing customers that already have business to the Russia Far East, particularly in the oil field services area, coupled with the fact that they’re right here in our backyard; Trans-NET is, and so we’ve had a lot of success taking back our transaction in Los Angeles where we had the opportunity to integrate kind of station level operations and drive some cost synergies in the mix. So it’s a -- again, purposely not getting into the absolute details of the map for Trans-NET, we see it as a very, very modest investment with a lot of significant potential upside and another differentiator for us as the network and how we can service our customers.
Jeff Martin - Roth Capital Partners: And then continuing down the acquisition transaction chain, could you give us an update on On Time Express, how that's progressed over the past quarter or two and what kind of opportunities there are still remaining?
Bohn Crain: On Time is continuing to kind of win freight from the network if you will. We're focused on really the I-10 Corridor. That’s their power lane if you will. So Los Angeles to Phoenix, Phoenix to Dallas, Dallas-Atlanta and then around up to JFK and so we’re working with our existing stations and networks to try to continue to build density in those trade lanes, as well as I think there's going to be some additional opportunities for On Time on a retail basis with some of the consolidation that’s going on the air line [ph] side. We’re doing a lot of business with folks like Delta in Southwest and others and I think there may be some incredible opportunities for us. We’ll have to see how that plays out in connection with USA or American Airlines. But all in all, that transaction is performing well and continues to kind of help us win incremental business out in the field that we might not otherwise have -- might not have an opportunity for.
Jeff Martin - Roth Capital Partners: Okay, and then looking at your 10-K filing, it looks like organic growth if you had everything that you have today dating back to 2012, the business grew about 5.5% organically and net revenue grew 6%. I was curious if you could help us kind of understand from a high level, where the bigger chunk of organic growth have come from and if you expect that to continue?
Bohn Crain: Yes, I think -- I’ll take the first crack at it and then Todd can come to my rescue, if need be. I think for the comparable period, most of that organic growth came from what we would think of as more traditional same store growth as opposed to new store growth over the period. I think most of that we would attribute to a combination of good work our RBPs have been doing out and helping with the stations as well as I think general market conditions. I think there is -- generally recognized there's been a little bit of an uptick and we’ve benefitted from that along with a broader industry group.
Jeff Martin - Roth Capital Partners: And then on the cross-border, it looks like that bounced back in the fourth quarter. Is that what you’re seeing? Is it from early Mexico?
Bohn Crain: Yes, that’s our -- our cross-border business in Laredo and their performance has been steadily kind of improving here over the past couple of quarters as well.
Operator: Thank you, your next question comes from Marco Rodriguez from Stonegate Securities.
Marco Rodriguez - Stonegate Securities: Just kind of circling back around Trans-NET, I understand you don’t want to provide specific numbers from revenue EBITDA levels but can maybe you talk a little bit about what sort of organic growth rates they might have been seeing and are there any major differences from margin perspective?
Bohn Crain: I think if anything, given the nature of their business, it will be -- for lack of a better term lumpy opportunities. They’re really kind of project oriented. There is a lot of infrastructure activities going on, both oil and gas, mining has cooled recently. As that turns around we would be in a position to support that, but their core business is in the extreme far East in Sakhalin Island where folks like Exxon have significant investments producing only oil and gas out there and there is only a small handful of orders that are in a position to support that oil and gas production and all the kind of surrounding oil field services that’s been out of those development efforts. So we -- and independent of the transaction, kind of historically a number of our independent agent stations have had Russia business. So we’ve been active in that marketplace for a long time. It’s just not something we ever needed the call out within the specificity but this gives us some real -- a real deeper competency with boots on the ground specifically there and supporting the oilfield services play that’s going on in Sakhalin.
Marco Rodriguez - Stonegate Securities: And with the specialty nature of that business, what it kind of sounds, should we be expecting that maybe margins are a little bit higher than your core business?
Bohn Crain: I think for that very small piece of business but I don’t -- candidly I’m not expecting Trans-NET to be a big catalyst for the change of the margin characteristics of our business overall. It’s just not that material to our overall business at this point in time.
Marco Rodriguez - Stonegate Securities: Got it, understood. Then taking a look at the operating expenses here, you’re at the $14 million level in the quarter for commissions, $6.5 million for personnel, $3 million for SG&A. How should we be kind of thinking about those line items going forward? It kind of sounds like maybe that might be good numbers, maybe that Trans-NET not going to affect it that much?
Bohn Crain: Yes, I think for kind of broad -- kind of high level modeling purposes, I think that quarter is kind of indicative of our current run rate in terms of where we sit right now and then it will just be kind of impacted going forward by kind of our next several moves, whether that’s acquisition or agent station or organic growth, will kind of further impact things, but I do think the quarter and isolation is a pretty good proxy for our run rate business or it's how we think about it today.
Marco Rodriguez - Stonegate Securities: Okay, and just following up on the organic growth, how much of the net transport revenue growth would you kind of classify or if any coming from the sales reorg that you mentioned earlier in your prepared remarks?
Bohn Crain: I think it’s hard to differentiate. I’m not sure that we can do justice to that question from a granularity standpoint. I can say that we're -- there is kind of an increasing frequency with opportunities with larger and larger shippers. We're kind of getting more opportunities to engage in those types of conversations, but for all intents and purposes it’s fair to say that across the board, in each of the regions, things have been improving and we remain cautious but certainly hopefully if my tone isn’t coming across as bullish on this call, then I'm not doing something right, because we feel kind of really good about where we are and what we’ve got in the pipeline to hopefully be in a position to share with folks here in the not too distance future.
Marco Rodriguez - Stonegate Securities: Got it. And last quick question; kind of a housekeeping item here, receivables. It looked like they had a pretty healthy jump sequentially. Can you talk a little bit about what drove that and what the expectations are for that line item next quarter?
Bohn Crain: Well I think on a sequential basis it would be really coming more into a stronger time of the year, kind of coming off the March quarter, which is a lighter quarter, if we were comparing on that basis. On a comparable year-over-year basis, it’s really going to be the step function of On Time and the on boarding of On Time would be the biggest kind of impact, kind of in combination with just kind of the overall growth in the business, kind of the overall financial gearings or edging higher just based upon the volume of business that we're pushing across the platform. But again I think kind of the -- Todd, hop in here if you have a different view, but I think the kind of the current snapshot of the balance sheet would be fairly indicative of our world as well. I wouldn’t expect any major swings or there is nothing anomalous in there that I would draw your attention to.
Todd Macomber: I would agree.
Operator: Thank you. Our next question comes from David Campbell from Thompson, Davis & Company.
David Campbell - Thompson, Davis & Company: Given the huge increase in receivables from the March to June, indicates that during the month of June, must have been a very big month in terms of revenues. For the whole quarter, that would indicate that you ended the quarter in a very high growth rate and yet you are suggesting that is going to drop off substantially in the third quarter -- in the September quarter. Is there some unusual amount of business that you’ve got, that is not sustainable in the September quarter?
Bohn Crain: No, I don’t think so. we obviously try to kind of formulate our projections and what we would share with you guys with a view towards being conservative and making sure that we hit our marks relative to these conversations but the short answer is no David, there is nothing that -- there is nothing along the lines that you described. We were looking at some I think metrics of last year on a comparative basis and I think the quarter ended September tracked at around 96% or 97% of the June 30 quarter. So we kind of took that into consideration as we were shaping what we were going to share with everyone here on the call today. But I would also encourage you to look at what that map looks like to the quarter ended September of the prior year. We are on track to post 30% plus growth again this next quarter on a comparable year-over-year quarter basis.
David Campbell - Thompson, Davis & Company: Do you have an organic revenue number or growth number for just the fourth quarter?
Bohn Crain: We do, but we're not going to share it on this call. We're going to stick with our current methodology of providing guidance on a quarterly basis and so as we’ve said here today, our guidance is for the quarter ended September. With that said, given where we are in the year, we will be back to you relatively soon with our September results and then we will be talking about the December quarter and all that will occur mid-November.
David Campbell - Thompson, Davis & Company : And Todd, will the -- will this receivable -- a lot of these receivables turn into cash in the [indiscernible] of the year?
Todd Macomber: June was a very good month, but I'm anticipating that that would be the case.
David Campbell - Thompson, Davis & Company: Assuming -- especially with your forecast revenues, you should be getting a lot of cash incoming in September quarter.
Todd Macomber: Absolutely. What I was saying, we look at the past two years and generally -- they did both -- one was 95% or 96%, it was in that ball park. So for the past two years there was nothing that I recall materially different between Q1 and Q4 but it was slightly down. So that was the basis for a lot of our rationales.
David Campbell - Thompson, Davis & Company: Right and there was $320,000 of legal costs in the fourth quarter. Were they all in your SG&A or were some in personnel cost?
Todd Macomber: No, that’s all SG&A.
David Campbell - Thompson, Davis & Company: All SG&A? And the personnel cost increased more than a net revenue increase in terms of percentages in the fourth quarter. That would imply that your Company offices move faster than your agents’ offices. Is that true or is there some other regions where the?
Bohn Crain: Philadelphia, opening the office there, we’ve brought in a number of people there, plus we have -- if you're comparing year-over-year, you also On Time in addition.
David Campbell - Thompson, Davis & Company: I was comparing with third fiscal quarter, the March quarter.
Bohn Crain: Right, so you’re going to have the additional station, is a lot of what that increase going to be.
David Campbell - Thompson, Davis & Company: Philadelphia accounts for a lot of it?
Bohn Crain: Yes.
David Campbell - Thompson, Davis & Company: Yes, that’s good. That’s the Company office, right. So that would account for it. And I take it that your earn out liability was down $1 million in the fourth quarter. Some of that you’ve paid and some was written-off that $600,000 [ph] or something of it?
Bohn Crain: Yes, exactly.
David Campbell - Thompson, Davis & Company: Right-right.
Bohn Crain: What we book up on the balance is basically the payout, right. So what you see there is what we’ll be paying out in the month of November, end of October, November 1st.
David Campbell - Thompson, Davis & Company: Right, right, right. And my last question is -- I haven’t had time, but it seemed the 10-K, sure that’s got the breakdown of revenue in the fourth quarter between international and domestic. Would that relationship continue? Do you think that is -- the growth rates continue in that type of area percentage wise in future quarters?
Bohn Crain: Yes, I would say so. Generally speaking, one thing you’ve got though is there is a little bit of change with revenues -- with international revenues becoming a little lighter, strictly because On Time, which is sizable, along with the Philadelphia is going to be migrate the overall sales revenues into a higher percent for domestic. But I think it’s reasonable. You have three to four quarters in the year. So it’s not going to be far off. And then of course future acquisitions could change that metric.
Operator: Thank you. Our next question comes from Mark Zinski from Uniplan Investment Counsel.
Mark Zinski - Uniplan Investment Counsel: I was wondering if you could elaborate at all about the type of cargo that’s typically transported cross border. Is it pretty diversified or specific to certain industries?
Bohn Crain: Yes, it is. Everybody down there is supporting the automotive industry in one form or another. So we certainly have some automotive exposure, but it’s not exclusively automotive and we have it going both ways right. So we’ve got basically the unfinished product going southbound to the Malcador [ph] and then the finished product coming back northbound.
Mark Zinski - Uniplan Investment Counsel: So would you say that you’ve noticed a definite positive impact from the near shoring phenomenon?
Bohn Crain: Absolutely we have.
Mark Zinski - Uniplan Investment Counsel: Okay. Would you be equipped -- let’s say theoretically that the oil industry -- the proposed oil industry liberalization in Mexico takes off. Would you be prepared logistically and equipment access wise to benefit from that?
Bohn Crain: Yes, we would. And we do have significant operations in oil country, right. So we’ve got a lot of boots on the ground in Houston and Dallas and Oklahoma and other geographies. So we’ve got a -- we have a lot of existing customers that we would naturally support at pursuing those opportunities.
Mark Zinski - Uniplan Investment Counsel: Okay and then can you speak to just the online ordering phenomenon and how that’s impacting the consumer retail chain? Are you benefiting directly from that versus the brick and mortar, the transfer from brick and mortar sales to more online ordering?
Bohn Crain: Not, especially, no. I can tell you there's a lot of folks kind of looking at that space. We are not big into that home delivery niche if you will at this point in time. We certainly have quite a number of our individual locations that provide what we would characterize as cartage services, pick-up and delivery but we’re not doing a lot of kind of that last mile home delivery stuff in our current toolbox.
Mark Zinski - Uniplan Investment Counsel: Okay, you kind of benefit those somewhere along the way probably -- for instance if it’s electronics being shipped to, like an Amazon distribution center, something of that nature?
Bohn Crain: Yes, we're doing -- and that's -- you’re directly on point; that’s more where we’re playing, which is that inbound into those DCs.
Mark Zinski - Uniplan Investment Counsel: Okay. And then lastly, do you think there was a sizable bump in the June quarter from pent-up demand from the severe winter in the March quarter?
Bohn Crain: It’s hard to say. There certainly had to have been some of that. I don’t know that we're in a position to attempt to kind of quantify the magnitude of that.
Mark Zinski - Uniplan Investment Counsel: Okay. But you’re not feeling at this point that this was a truly exceptional quarter, that -- a onetime exceptional quarter? You’re not feeling that?
Bohn Crain: I am not. We are busier than ever.
Operator: Thank you (Operator Instructions) Our next question comes from David Kanen from Aegis Capital.
David Kanen - Aegis Capital: Okay. Most of my questions have really been answered. Todd, what was the DSO on accounts receivable at the end of June?
Todd Macomber: No, I don’t have that number. I don’t have that number with me right now. I did calculate that but I don’t have it here in front of me.
Bohn Crain: I will suspect that’s in the high 40s -- it will be somewhere between 48 and 52 would be my expectation, but we can do the math.
David Kanen - Aegis Capital: Okay, excellent. And then -- congratulations by the way on organic growth. I know this was posed in a different way but my question is, how much of the growth is coming from the realignment of your sales organization versus the existing network, cross selling On Time and the long haul network. If you could give me that level of granularity, I know it’s very specific but I would just like to give a sense of where the organic growth is coming from?
Bohn Crain: Fair enough. I think I can do a better job with answering that one, which is most of it has come from kind of the traditional same store growth, not necessarily the cross sell and the benefit of On Time. I still think there is lot of untapped opportunities in leveraging On Time specifically that we haven’t captured yet and isn't reflected in what our capabilities are.
David Kanen - Aegis Capital: Okay, excellent. And then what would you say your run rate is now in terms of EBITDA on an annual basis?
Bohn Crain: I think we’re comfortably at 16%.
David Kanen - Aegis Capital: Okay. That seems rather conservative, but I’ll accept your answer.
Bohn Crain: The only thing is charge [ph].
Operator: Thank you. Our next question comes from Bijel Doshi from Norwood.
Bijel Doshi - Norwood: I might not let you off so easy on that last question. So let me ask it a different way. Fourth quarter EBITDA margins were 16.2% understand [ph] with the first quarter seasonally weaker, so guidance for margins is a little bit lower; but given where you see the business today and your confidence, is it unreasonable to see a 16% handle for the year?
Bohn Crain: Well, we have to think --
Bijel Doshi - Norwood: On margin percentage, sorry.
Bohn Crain: Yes, so we have to think about how we make sure we’re talking about the same year right. So our fiscal year. So we’re talking June 30, ‘15
Bijel Doshi - Norwood: Yes.
Bohn Crain: But no, I think we’re trending in the -- I think we have a lot of positives in play right now and to kind of hit on it one more time, we have more positive things going on in our world right now than I can ever remember and most of those things really aren’t going to begin to show up until the quarter of December. September is almost closed and so that’s kind of our current world but given some things that we hope to be able to kind of get at in action against that we’re looking at, we believe is only going to be incremental for this quarter that we’re looking at now. So that’s kind of a clumsy way of saying I think quarter ended September should look similar to quarter ended June and then you’re going to see some incremental things happening.
Bijel Doshi - Norwood: That’s great. I know you are comfortable with 16 but if I apply that to -- addressing for seasonality for your first quarter, I could in 17 or 18. So something to shoot for, just wanted to make sure I’m thinking about all the puts and takes there. Kind of just follow up, what’s the longer term opportunity for margin and what you need to do to get there? Is it just grow or do you feel like you need a change in the business mix?
Bohn Crain: No, no it’s really a function of scale and we talked about this quite a bit over the life of the Company right. So we’re trying to grow our gross margin dollars and get as many of those gross margin dollars to the bottom line as we can. When we first started this, that number was 6 then it was 8 and then it was 10 and then it was 12 and now here we are at 16 and if we go look at those same metrics on the Expeditors and C.H. Robinsons of the world, they’re in the 30% to 35% range. So that's the curve up which we’re marching. I can’t tell you next quarter with precision where we’re going to be but that’s our opportunity and we continue to close the gap.
Bijel Doshi - Norwood: Great. Can you give us a sense for what percentage of revenue today are forwarding versus other value added services like brokerage, customs, clearing?
Bohn Crain: Probably 98% forwarding.
Bijel Doshi - Norwood: But still early in the value added services and your margins already caught 16% sales. Do you increase sale and concentrate the mix of those, it’s only beneficial to margin?
Bohn Crain: Yes sir.
Bijel Doshi - Norwood: Great, last one for me, 30% growth in your first quarter guidance; how much of that is organic? I know you have a quarter of On Time [indiscernible] little bit of whatever Trans-NET is.
Bohn Crain: That’s a great question, because the answer is that’s almost all organic. There's not much incremental contribution at this point. I guess we'll have one last -- for the quarter ended September we’ll have one last quarter for On Time. Trans-NET candidly is not that material for the business. So if we were to stand still, the quarter ended December would be a really clean quarter to look at. With that said, even in the case we provide supplemental pro-forma analysis on -- as if they had been acquired and that’s a pretty good place to look to get a sense of organic growth as well.
Operator: Thank you. (Operator Instructions) It appears we’ve no further questions. I’ll turn the call back over to our speakers for closing comments.
Bohn Crain: Great, let me close by saying that we remain very excited with our progress and prospects here at Radiant, and we remain very bullish on the growth platform that we've created and the scalability of our non-asset-based business model. We continue to make good progress in executing our strategy, leveraging the Radiant platform to bring value to our operating partners, and we remain very excited about the opportunity to grow our business organically, both on a same store and new store basis and by completing acquisitions of other companies that will bring critical mass from a geographic standpoint, incremental purchasing power and/or complementary service offerings which will benefit the broader network; at the right place, at the right time, with the right value proposition, with a proven business model and a proven leadership team, consistently delivering profitable growth quarter-after-quarter, year-after-year. Thanks for listening and your support of Radiant Logistics.